Operator: Good day, and welcome to the Sempra Energy Second Quarter 2011 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Steve Davis. Please go ahead, sir.
Steven Davis: Good morning, and thank you for joining us. I’m Steve Davis, Vice President of Investor Relations. This morning, we'll be discussing Sempra Energy's second quarter 2011 financial results. A live webcast of this teleconference and slide presentation is available on our website under the Investors section. With us today in San Diego are several members of our management team, including Don Felsinger, Executive Chairman; Debbie Reed, Chief Executive Officer; Neal Schmale, President and Chief Operating Officer; Mark Snell, Executive Vice President and Chief Financial Officer; and Joe Householder, Senior Vice President and Controller. You'll note that Slide 2 contains our Safe Harbor statement. Please remember that this call contains forward-looking statements that are not historical fact and constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance. As you know, they involve risks, uncertainties and assumptions, so future results may differ materially from those expressed on our call. These risks, uncertainties and assumptions are described at the bottom of today’s press release and are further discussed in the company’s reports filed with the Securities and Exchange Commission. It's important to note that all of the earnings per share amounts in our presentation are shown on a diluted basis. With that, I'll turn it over to Don.
Donald Felsinger: Thanks, Steve, and thank you all for joining us. I'd like to begin today's call by commenting on our recent CEO succession process. We'll then review our second quarter financial results and then provide an operational update on our businesses. In light of Neal Schmale's retirement later this year and my retirement next year, our board engaged in a thoughtful year-long process to ensure a smooth leadership succession. That process culminated in the election of Debbie Reed as CEO and as a Sempra board member. As many of you know, Debbie has a broad understanding of the energy industry and has excelled in her 30-year career with the Sempra companies. She has demonstrated outstanding leadership at every level of responsibility. She is also well respected by key stakeholders that we interface with, including customers, regulators, elected officials community leaders and our employees. Given this, we decided that she was the right person to lead the company going forward. Once the decision was reached that Debbie would succeed me as CEO, we decided to make that transition effective immediately. This timing provides Debbie with the opportunity to focus on Sempra's annual strategic review of our business. Additionally, this timing allows Neal and me to provide support and guidance to Debbie and the rest of the organization during this transition until our retirements. We have an excellent management team in place to take the company forward. The board and I are confident that Debbie, Mark, the business unit presidents and the rest of the management team will continue our excellent track record of creating shareholder value and delivering great service to our customers. Now I'd like to hand the call over to Debbie.
Debra Reed: Thanks, Don. I'm pleased to join you all in my new role today. Before I review our second quarter results with you, I would like to address the question some of you have asked concerning my strategic vision for Sempra. I want to start by reiterating that our strategy has been and will continue to be focused on regulated utilities and contracted energy infrastructure. It is a space within our sector where we have demonstrated success and one in which we have deep competency. As Don mentioned, we have just begun our annual strategic review at Sempra in which we update our 5-year business plan. This year, I have 3 objectives that we will complete as part of this process. First, we will conduct a thorough market assessment of the short- and long-term business environment in which we operate. We will be analyzing market trends to identify opportunities and risks. As an example, environmental regulations are prompting retirements of coal plant, at the same time that nuclear plant development has been substantially slowed. This trend is likely to create opportunities for natural gas-fired generation and the development of new gas infrastructure, including storage. Secondly, we will be reviewing the current and expected performance of our asset portfolio considering market cycles and focusing on getting the greatest value from these assets. We will develop specific strategies for assets not meeting our return expectation in this market environment. Lastly, we will put in place the organization and leadership to execute and deliver on our plan. I feel fortunate to have Don, Neal, Mark and the rest of the management team available to draw upon and support me in this process as I transition into my new role. As always, we will update you on any developments on our quarterly earnings call and at our analyst conference next spring. Now let's move on to the review of our second quarter and year-to-date financial results. Earlier this morning, we reported second quarter earnings of $511 million or $2.12 per share compared with $222 million or $0.89 per share in the same period last year. This year's second quarter earnings included a gain of $277 million or $1.15 per share, reflecting the write-up in the value of the company's original investments in Chile and Peru. This was a result of the acquisition of a controlling interest in those utilities during the quarter. Excluding the impact of this gain, our quarterly earnings per share increased by 9%. Earnings for the first 6 months of 2011 were $769 million or $3.19 per share compared with $328 million or $1.31 per share in 2010. First quarter 2010 earnings included an after-tax charge of $96 million or $0.38 per share related to a litigation settlement. Our financial performance for the first half of the year is in line with our expectations for this point in the year and on a full year basis. We remain on track to generate earnings of $4 to $4.30 per share. This, of course, excludes the impact of the write-up that we recognized this quarter. While our earnings in the second half of the year will be impacted by the expiration of Sempra Generation's 10-year contract with the California Department of Water Resources at the end of the third quarter, we expect higher second half earnings at our California utilities consistent with our past performance. Additionally, we are expecting the contribution from some regulatory matters that we anticipate to be resolved later this year. SDG&E will be requesting the CPUC's approval to recover a total of about $90 million of increased wildfire insurance costs from July 2010 through December of this year. About $60 million of that has already been requested, and we expect to file a request in the third quarter of this year for an additional $30 million. You may recall that late last year, the commission allowed SDG&E to recover $29 million of insurance costs for the July 2009 to June 2010 policy period. It also provided guidance for future recovery requests until our next general rate case, and our 2 requests will be consistent with that guidance. The other regulatory matters that we anticipate to be resolved by the end of the year are applications for $17 million of energy efficiency awards for SDG&E and SoCalGas and a $6 million gas cost incentive mechanism award at SoCalGas. I'd note that all the items I just described are on a pretax basis. Now I'd like to hand it over to Mark, so he can take you through some of the details of the financial results beginning with Slide 4.
Mark Snell: Thanks, Debbie. At San Diego Gas & Electric, earnings for the second quarter of 2011 were $71 million compared with earnings of $75 million in the year-ago quarter. The small variance was due to higher AFUDC earnings, which were more than offset by higher litigation expense and insurance premiums. For the 6 months of 2011, SDG&E's earnings were $160 million, which is in line with the $158 million of earnings last year. At Southern California Gas Co., second quarter 2011 earnings were $59 million compared with $69 million in the second quarter of 2010. The second quarter of this year was impacted by $5 million from lower storage revenues and higher expenses net of higher CPUC authorized margin and a $4 million adjustment to prior year employee benefit costs. For the 6 months of 2011, SoCalGas' earnings were $127 million compared with $134 million of earnings last year. Now let's go to Slide 5. Sempra Pipelines & Storage recorded earnings of $337 million in the second quarter of 2011 compared with earnings of $39 million in the same quarter of 2010. Excluding the impact of the $277 million gain, earnings were $60 million for the quarter, and the quarter benefited from $14 million of higher earnings from our increased ownership stake in the utilities in Chile and Peru and also from $5 million of higher earnings from the pipeline assets in Mexico, which were acquired in the second quarter of 2010. For the first half of 2011, Sempra Pipelines & Storage had earnings of $391 million. Excluding the impact of the $277 million gain this year, earnings were $114 million for the first half of 2011 compared with $77 million last year. The increase was mainly due to $20 million higher earnings from Chile and Peru and $13 million higher earnings from Mexican pipeline assets. Now let's go to Slide 6. Sempra LNG had earnings of $18 million in the second quarter of 2011 compared with earnings of $13 million in the prior year's period. For the first 6 months of 2011, Sempra LNG's earnings were $51 million, up from $45 million last year. Both the second quarter and year-to-date 2011 results included $11 million higher earnings from customer payments related to the nondelivery of contracted cargoes. Now please move to Slide 7. Our generation business recorded earnings of $50 million in the second quarter of 2011 compared with earnings of $52 million in the same quarter of 2010. For the first 6 months of 2011, Sempra Generation's earnings were $94 million, up from $1 million of earnings last year. Last year's results included an $84 million charge related to a litigation settlement in the first quarter. The improvement in earnings was also due to $15 million of lower operating and maintenance costs as a result of scheduled plant maintenance and earthquake damage to our Mexicali power plant in 2010. This was offset by $4 million higher depreciation expense this year. And with that, I'll turn it back over to Debbie, who will begin with Slide 8.
Debra Reed: Thanks, Mark. Now let me update you on activities at our California utilities. Last month, SDG&E and SoCalGas filed updates to their general rate case applications, which reflect the impact of bonus depreciation. The updates were consistent with what we had included in the guidance provided you in March. The CPUC schedule for the rate cases call for intervener testimony in September, hearings late in the year and a final CPUC decision around March of 2012. The CPUC has already approved making the new rates established by these rate cases retroactive to January 1, 2012. Another important regulatory proceeding is the CPUC's examination of what changes should be made to natural gas pipelines following the tragedy in San Bruno. As we talked about on our last call, the CPUC requested records supporting maximum allowable operating pressures for 1,600 miles out of 4,000 miles of Department of Transportation defined transmission pipelines that SoCalGas and SDG&E operate. We conducted an extensive review, which renewed our confidence that the maximum pressures on our systems have been appropriately set in accordance with current regulation, and that we operate our systems safely. The CPUC has also directed the natural gas utilities in California to file implementation plans to comply with new requirements to test or replace all transmission pipelines that have not been pressure tested. We will submit our plan to the CPUC by August 26. We believe that complying with these new requirements has the potential of increasing capital spending at our utilities, particularly at SoCalGas, by several hundred million dollars per year over a 10-year period. But it will ultimately be the commission's decision to set the appropriate level of spending going forward. Both SoCalGas and SDG&E expect full recovery for all incremental costs related to complying with the new requirement. Please go to Slide 9. Now let's move on to some of the major utility projects. For the $1.9 billion Sunrise Powerlink project, construction is progressing as planned. The project is on budget and is now about 30% complete. We continue to expect to complete the line in the second half of next year. Turning to SDG&E Smart Meter program, this project is now essentially complete. The mass deployment phase has concluded as of the end of the second quarter over 1.3 million electric and 850,000 gas meters have been installed. I'd also mention that SoCalGas' advanced metering project is on track and the upgrade of 6 million natural gas meters is expected to begin next year. As for the push towards meeting the 33% renewables target, SDG&E has made significant progress this year. Since the beginning of the year, contracts for more than 1,200 megawatts of renewable energy have been added to its portfolio. One renewable project that I'd like to highlight is Rim Rock, which is a 189-megawatt wind project that demonstrates a unique approach to helping meet the renewable goals at SDG&E. Last month, the CPUC unanimously voted to allow SDG&E to make a tax equity investment for up to $250 million in the Rim Rock project. The investment will be included in rate base and represents the first regulated tax equity structure in the nation. We will also make an additional shareholder investment in the project, which is expected to be about $40 million and should earn a utility-like return. This innovative structure benefits customers by lowering costs for clean energy and serves as a model for future projects. Now let's move to the next slide. Last week, we announced the expansion of our Copper Mountain Solar complex in Nevada. The project, creatively called Copper Mountain 2, is supported by a 25-year power sales contract with PG&E that is now pending approval by the CPUC. We expect 92 megawatts to be complete by January of 2013 and 58 megawatts by 2015. And at the end of the second quarter, the 250-megawatt Cedar Creek 2 wind project at Colorado was also placed in service. This project is a 50-50 joint venture with BP Wind. There is a 25-year agreement in place with a utility subsidiary of Xcel Energy for the sale of the project's power. At our last analyst conference in March, we discussed plans to develop 1,000 megawatts of renewable capacity at Sempra Generation over the next 5 years. Already, half of this goal has been met with projects that have been completed and under construction or have been contracted. Also, out of these 500 megawatts, about 300 megawatts have already received the necessary regulatory approvals. We are developing and building a robust pipeline of renewable projects, and including in our slide presentation is an appendix summarizing these projects that we've launched today. In addition to the 1,000 megawatts in our 5-year plan, we have the potential for roughly 1,700 megawatts of additional renewable projects based upon our existing land position. I'd also like to update you on our efforts to maximize the value of Sempra Generation's natural gas plants. We recently signed a 25-year agreement to supply 240 megawatts of electricity to an association of electric utilities in Arizona and southern Nevada. The contract, which starts in 2015, provides us with an attractive long-term strategic hedge for a significant portion of our existing generation capacity at Palo Verde and serves as a platform for further optimization of the 2 remaining gas-fired plants we will have following the transfer of El Dorado to SDG&E on October 1 of this year. By the way, I'd also like to share with you that I recently visited Peru and had the opportunity to meet with Peru's new president as well as the prime minister and energy minister. We had a very constructive meeting, and it gave me confidence that the positive regulatory framework our electric utility has operated under for over a decade will continue. There is great interest in ensuring that Peru has a robust electric grid and increased generation capacity to keep up with its economic growth. Now please turn to the final slide. We're pleased that we're on track to meet our guidance for the year, and I have confidence that our utilities will deliver strong results in the second half of this year consistent with our long track record of solid performance. The major projects at our California utilities are moving forward according to plan and our infrastructure businesses are performing well. Before I open up the call to take questions, I'd like to take a moment to acknowledge the fact that this is Neal Schmale's final earnings call before his retirement later this year. In his prior role as Chief Financial Officer and his current role as President and Chief Operating Officer, Neal has made countless significant contributions to Sempra Energy in his 13 years with the company. I want to thank him for his leadership and dedication to our company and wish him the very best in his retirement. With that, I'll stop and open up the call to take any of your questions.
Operator: [Operator Instructions] We'll take our first question from Faisel Khan of Citi.
Faisel Khan - Citigroup Inc: On the power generation contract I believe you guys signed at Sempra Generation, about the 25-year contract for 240 megawatts beginning in 2015, can you guys talk about that a little bit more in terms of what the pricing outlook is for that? I know we have the contract falling off at the end of the year. What does -- what is that contract exactly -- how this is structured?
Debra Reed: I would just say that we're not going to disclose the commercial terms. But we feel that this is a really good starting point for hedging our fleet and we feel very positive about the contract. We think it's good for the customer and very good for our business as well.
Faisel Khan - Citigroup Inc: Okay, fair enough. And then if you could give us a little update on what -- how you guys are thinking about some of your gas infrastructure assets within the U.S., particularly your equity investment in REX and your storage assets and your LNG assets, are you guys still thinking about or do you ever look at the MLP structure and how that could enhance the value of Sempra stock or how that might help you guys grow that business a little bit further?
Debra Reed: Well, Faisal, I will start and then I'll ask Mark to add anything to that. As was mentioned, we're engaged right now in our strategy works that we do every year around this time. And those are the kinds of questions that we're looking at as part of the strategy work. We're looking at every asset we have and what's the best structure for that asset. Is it an asset that we can add assets to and increase the value and what is the best way to maximize the value of our existing investment? And certainly, we will look at structures like MLPs as part of that. Mark do you want to add anything?
Mark Snell: Yes, I would just say, we've looked at it in the past and I think we're focused on it now and I would expect that we would -- I don't know that we'll go exactly the MLP route but I do think that we'll do something to maximize the value of our assets. But that's certainly an option that's open and we're exploring it in the current market.
Faisel Khan - Citigroup Inc: Okay. And then, have you guys also looked at the liquefaction option at your Cameron facility? Is that still a possibility or do you -- how are you guys thinking about that?
Debra Reed: I would say that, that is a possibility if we can get long-term contracts from a credit worthy counterparty for that. I think Don has stated before and I would reaffirm that my view is we're not going to do that unless we can have long-term contracts in place. But certainly, that's something that we're looking at with other parties.
Operator: We'll go to Paul Patterson of Glenrock Associates.
Paul Patterson - Glenrock Associates: The tax rate for the second quarter seemed a bit low and I was wondering if you could sort of describe what's going on there and if there's been any change in the tax rate outlook for this year and others?
Debra Reed: I'm going to ask Joe Householder to answer that.
Joseph Householder: This is Joe. Our tax rate is right in line with what Mark presented at the analyst conference, roughly about 30% for 2011. The low rate you're seeing in the statement of operations is simply due to the noncash book gain we had on the step-up of our basis of the preexisting Chile/Peru equity investment, so that's why it's 17% and 25% or so. But we're really at the 30% rate if you take that gain out.
Paul Patterson - Glenrock Associates: Okay, great. And then, you guys have thought about a buyback and with the falloff in the share price and what have you, I was wondering if you guys might want to sort of talk about what your current thinking on that might be or how you're looking at that in relation to some of the activity we've seen in the market in your stock?
Debra Reed: I'm going to ask Mark to address that. We've had a number of discussions, so.
Mark Snell: Well, certainly, we think our stock is an excellent investment right now. But I do think -- we are still looking at where we come out at SoCalGas with the increased capital spending that we fully expect to have to pay or to have to invest for the next couple of years, and as we've said, it's probably to the tune of several hundred millions of dollars a year for a multi-year period. And so once we know what those numbers are, then we can think about whether there's room to do any kind of buyback or anything like that.
Paul Patterson - Glenrock Associates: So we're probably talking in terms of timing still a ways off, is that how we should think about it?
Mark Snell: Yes, I would think we wouldn't make any decisions until the fourth quarter.
Paul Patterson - Glenrock Associates: Okay. And then the pipeline analysis, it sounds like you guys have done a thorough analysis and you're okay with the pressure. Another company in California has had quite a few things come out, I guess, as part of their review in terms of past practices and other issues perhaps not directly related to pressure. Can you guys tell us if there's anything potentially like that, that you guys are seeing or any revelations that you guys have had about your -- with your safety review that might be noteworthy?
Debra Reed: I will just say that we have had people doing thorough reviews because we've had the same reporting requirements to the CPUC as other companies in California have had, and that we have not found anything that concerns us in terms of our past practices or how we operate our pipelines. We operate our system very safely. We have looked at lessons learned from the San Bruno incident and are making modifications going forward that we think would improve our responsiveness if something like that occurred. But we have not found any deep concerns at all in terms of the way we've operated our system. And we just had a recent audit of this by the CPUC and they didn't find any concerns either that's significant.
Operator: We'll take our next question from Mark Barnett of Morningstar.
Mark Barnett - Morningstar Inc.: Couple of just real quick questions. With the tax equity investment alongside just the normal equity investment in -- was it Rock Rim, sorry, are you considering doing that maybe outside of just wind or I mean, is there like a sort of a targeted technology? I mean maybe you might be considering geothermal investments as well or perhaps solar?
Debra Reed: What we've looked at thus far is most of the projects we focused in on have been on the wind side, but it wouldn't preclude doing other technologies. I would stress that this investment is being done within SDG&E, within the regulated company, and so the big issue there is ensuring that the entire structure is a benefit for customers as well. So if there was a competitive solar deal that could be structured in the same way and provide benefits to customers, we would certainly consider that.
Mark Barnett - Morningstar Inc.: Would you be considering kind of the same set up where the tax equity investment alongside the equity?
Debra Reed: Yes, on the geothermal, I don't think that, that would -- we would be looking at that. But in this case, this was a regulatory structure that was negotiated as part of a settlement. And that the CPUC basically had the structure approved where we would have the rate based investment and then we would have a shareholder investment alongside of that. So my sense is that, that would be the type of structure that they would want us to have going forward.
Mark Snell: Mark, this is Mark Snell. The one thing on that would be is the tax equity helped us get a lower cost to customers because it lowered the financing cost for the developer and any of those. And that would be -- that same structure could work very well with a solar development, as well as wind. Anything that has a high tax component to it, we think it could be effective and literally -- I mean, it is one of the few times where it is sort of a win-win for everybody. We get lower pricing for customers, the developer gets -- has lower cost and we get a tax benefit at the utility that's shared with the shareholders. So all of that kind of works out well.
Mark Barnett - Morningstar Inc.: Okay. And then just one more quick question on the PEMEX assets, has there been any further discussion around those remaining kind of assets in the JV? Or is it just going to sit pat for now?
Debra Reed: Well, as far as the PEMEX assets, right now, we're working with PEMEX on some potential growth projects. There has been no additional movement in terms of them exiting the partnership. But as long as we remain in the partnership, we believe that there will be a number of growth projects that we could do jointly. So that's where that stands at this time.
Operator: We'll take our next question from Ashar Khan of Visium.
Ashar Khan - SAC Capital: Just wanted to check in, where do we stand on distributions from the sale of the commodity business, could you just help us where we are in that? Have you gotten everything or just still -- how much more is there to go?
Debra Reed: Well, we've gotten about -- we expect to get between $1.8 billion and $1.9 billion. We've gotten a little over $1.4 billion, and we would expect to get the remaining $400 million to $450 million by the first quarter of next year. And we did get about $320 million in April of this year as a distribution.
Mark Snell: Yes, and we're kind of on a quarterly distribution schedule. We should get another $100 million here in a week or so.
Ashar Khan - SAC Capital: And Debbie, as you guys go through the strategic review, I guess, one thing as we've gone through the sale of the commodity business to make it more simple and all that, it's still -- I don't know we're still not getting the multiple, and I don't know, is there some way you're thinking how to simplify it to the investor base, so the I guess, the different components of the businesses get their multiples reflected into the price? I'm trying to see which way you are thinking about strategically as you think over the fall.
Debra Reed: Yes, I would say that, that is one thing that we will be looking at. We'll be looking at all of our businesses and the long-term value of those businesses in our portfolio. We will also be looking at how do we focus on increasing some of our domestic earnings growth. And so those will be things that will be part of the strategy work. And since -- and I've just been in this job a month, I can't tell you much more than that, but we will be doing that work over the next few months.
Operator: And our next question will come from Michael Lapides of Goldman Sachs.
Michael Lapides - Goldman Sachs Group Inc.: Your Latin American businesses, can you talk to us -- I think one of the times we were out there meeting with you guys, your -- George had discussed and I think in the follow-on, you all had about significant potential growth opportunities around your Peruvian and your business in Chile. Can you just talk about whether those growth opportunities are adding bolt-on distribution businesses or are they branching out in other things like hydro or electric transmission?
Debra Reed: Yes, I'd be happy to talk about that. As I mentioned, I was down meeting with the new president, the energy minister and the prime minister, and they are very interested in seeing that more electric generation gets built. And in Peru, we are working right now on our first hydro project, that will be about 100-megawatt project to be completed over the next couple of years. That project will then give us an opportunity to do more. But I want to stress just in our basic distribution area, kind of our basic growth in our Chilean and Peruvian businesses so you get a good sense of that. If you look at the customer growth that we're seeing in those businesses, it's about 2.5% a year. If you look at the sales growth in those businesses, it's about 5.5% to 7% per year. And we are interested, and if there are some potential distribution companies that could be consolidated and we feel that they would be wise investments for us, we would certainly consider those investments as well. It does have a very high growth environment and have a very stable regulatory environment, which we believe will continue.
Michael Lapides - Goldman Sachs Group Inc.: Got it. And one follow-up. Can you talk about the capitalization of the business and if growth opportunities don't emerge, whether there's a potential to recapitalize that business and eventually to bring back some incremental capital back to the U.S. or use it for like investment in Mexico or elsewhere?
Debra Reed: Yes, there is some opportunities, and I'll have Mark go through the details of that.
Mark Snell: Of course, all of the expansion projects and even the acquisitions that we could possibly do in South America would all be funded at the local level down there. We have additional borrowing capacity at that level, and we also have offshore cash that we could use to invest there. So we wouldn't anticipate funding from the U.S. to grow those businesses. We would anticipate doing that there locally. And then obviously, we, like a lot of other companies in the U.S., are lobbying and talking about some kind of change in the tax system that would allow U.S. companies to bring cash home and invest in opportunities here. And we certainly are poised and ready to take advantage of that if that should happen. But we have in our models also anticipated that even if it didn't happen, at some point in development we will have enough cash, we will have to bring some of it home. And of course, we have to pay the taxes on that. But we think the right answer right now is since we have good investment opportunities is to continue to invest that money offshore.
Michael Lapides - Goldman Sachs Group Inc.: How sizable is that? Meaning like if you were to make the decision to bring back some of the capital today, what are we talking about?
Mark Snell: Well, in our 5-year plan, we'd build up about $1 billion of offshore cash over the 5-year planning period.
Operator: [Operator Instructions] And we'll take a follow-up from Faisel Khan.
Faisel Khan - Citigroup Inc: Sorry, guys, just a couple more questions. I think there's talk of this brass LNG project maybe moving forward, and I think you guys might have a small stake in that project. Are you still interested in participating in that project? Or is that something that you have to review?
Debra Reed: I would say that we're looking at all opportunities in terms of that, and I'm going to ask Neal to put some color around it.
Neal Schmale: Yes, this is Neal Schmale. And we did have an interest in acquiring a small stake in that project, emphasize the word small, and the project like all of these takes a long time to get going. But I think the general idea is that to acquire molecules of LNG internationally will allow us to improve that business.
Faisel Khan - Citigroup Inc: Okay, understood. And then on the SoCalGas side, you guys talked about kind of lower storage revenues. Can you highlight that a little bit more or go into that a little more? What causes those storage revenues to be lower? I thought that was mostly a regulated business, but I guess there's a little bit of industrial and power generation load that affects that number?
Debra Reed: Yes, it is a regulated business and on the storage piece, so we have an incentive design that allows us to make some additional money by selling storage at a premium to some of the market pricing and packaging storage in creative ways. And we've earned incentive historically, earned some incentives this year for that, but the incentives were less this year than we've had in the prior year. That's all that's happening there. And there was a couple of million dollars on a pretax basis and nothing real significant.
Faisel Khan - Citigroup Inc: Okay. And then just, is your Sunrise, when I look at the CapEx for the first 6 months and is it possible to break out kind of what Sunrise and the Smart Meter programs was, because these are very distinct projects that will -- that have come to a close or will come to a close in the near future, so that represents kind of a ramp down I guess CapEx although I think some of your other...
Debra Reed: Yes, for Sunrise, the number was $347 million for the first 6 months of the year. And then for the Smart Meter CapEx, we were looking at a total this year of about $120 million for the entire year, and I don't have the number in front of me for the first 6 months. But it's pretty much -- it's in that range.
Operator: And at this time, there are no further questions. I'll turn it back over to Ms. Reed for closing remarks.
Debra Reed: Well, thank you for all joining us today. We really appreciate you being with us this morning. And if you have any questions, please don't hesitate to call Steve Davis, Victor or Scott with any follow-up. Thank you again. Bye-bye.
Operator: Once again, ladies and gentlemen, that concludes our conference. Thank you all for your participation.